Operator: Good day, ladies and gentlemen, and welcome to the Quarter Three 2015 Stratasys Earnings Conference Call. My name is Sheila, and I'll be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference, and at that time, please restrict your questions to one question plus one follow-up question. As a reminder, this call is being recorded. I would like to turn the call over to Mr. Shane Glenn, Vice President of Investor Relations. Please proceed, sir.
Shane Glenn - Vice President-Investor Relations: Thank you, Sheila. Good morning, everyone, and thank you for joining us to discuss our third quarter 2015 financial results. On the call with us today are David Reis, CEO, and Erez Simha, CFO and COO of Stratasys. I remind you that access to today's call, including the prepared slide presentation, is available online at the web address provided in our press release. In addition, a replay of today's call including access to the slide presentation will also be available and can be accessed through the investor section of our website. We will begin by reminding everyone that certain statements in this press release are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, Section 27A of the Securities Act of 1933, and Section 21E of the Securities Exchange Act of 1934. Forward-looking statements are characterized by the use of forward-looking terminology such as will, expects, anticipates, continues, believes, should, intended, projected, guidance, preliminary, future, planned, committed, and other similar words. These forward-looking statements include, but are not limited to, statements relating to the company's objectives, plans and strategies, statements of preliminary or projected results of operations or of financial condition, and all statements that address activities, events or developments that the company intends, expects, projects, believes or anticipates will or may occur in the future. Forward-looking statements are not guarantees of future performance and are subject to risks and uncertainties. The company has based these forward-looking statements on assumptions and assessments made by its management in light of their experience and their perception of historical trends, current conditions, expected future developments and other factors they believe to be appropriate. Important factors that could cause actual results, developments and business decisions to differ materially from those anticipated in these forward-looking statements include, among other things, the company's ability to efficiently and successfully integrate the operations of Stratasys, Inc. and Objet Ltd. after their merger as well as MakerBot, Solid Concepts, and Harvest Technologies after their acquisitions, and to successfully put in place and execute an effective post-merger integration plans; the overall global economic environment; the impact of competition and new technologies; general market, political and economic conditions in the countries in which the company operates; unexpected capital expenditures and changes in liquidity; unexpected changes in the company's strategy; unexpected changes in government regulations and approvals; unexpected changes in customers' budgeting priorities; unexpected litigation and regulatory proceedings; further charges to non-cash goodwill and other intangible asset impairment expenses; and those factors referred to under Risk Factors, Information on the Company, Operating and Financial Review and Prospects, and generally in the company's Annual Report on Form 20-F for the year ended December 31, 2014 filed with the U.S. Securities and Exchange Commission, and in other reports that the company has filed with or furnished to the SEC on or prior to the date hereof. Readers are urged to carefully review and consider the various disclosures made in the company's SEC reports, which are designed to advise interested parties of the risks and factors that may affect its business, financial condition, results of operations and prospects. Any guidance and other forward-looking statements in this conference call are made as of the date hereof, and the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. As in previous quarters, today's call will include non-GAAP financial measures. These non-GAAP financial measures should be read in combination with our GAAP metrics to evaluate our performance. We also note that we are not providing any pro forma financial results for acquisitions. Certain non-GAAP to GAAP reconciliations are provided in the table contained in our slide presentation and in today's press release. Now, I'd like to turn the call over to our CEO, David Reis. David?
David Reis - Chief Executive Officer & Director: Thank you, Shane. Good morning, everyone, and thank you for joining today's call. Our third quarter results are a reflection of the difficult global macroeconomic environment that impacted our performance across all regions and for most of our product lines throughout the year. We believe the current environment is primarily – is a result of the slowdown in capital equipment investment for customers within our target market. In addition, while we believe that the overall market penetration in the prototyping market remains low, the segment has matured to an extent that it provides our customers with a wider selection of technologies and services than ever before resulting in a longer sales cycle and increased experimentation by our users. We also believe the situation has been worsened by the negative impact of excess capacity that followed the two-year period of extraordinary industry expansion that ended in 2014. Reflecting the low visibility of the current market environment, expected orders did not materialize as expected at the end of the quarter. The near-term outlook remains difficult as we begin the fourth quarter and we will respond to these challenges by implementing an adjustment to our cost and operating structure. We expect these adjustments to be positively impacting 2016. However, despite these near term challenges, we remain committed to our plan which we believe will help unlock the significant potential within our markets. This includes our recently announced initiative to transform our brand positioning and go-to-market strategies, as well as ongoing development of new capabilities and business models that we believe could transform our markets. I will return later in the call to provide more detail on recent developments and our strategy moving forward, but first I would like to turn the call over to our CFO and COO, Erez Simha, who will review the detail of our financial result. Erez?
Erez Simha - Chief Operating & Financial Officer: Thank you, David, and good morning, everyone. As David mentioned, our performance during the first quarter is a reflection of the overall market weakness that has impacted our company across most regions and business units throughout the year. Total revenue in the third quarter decreased by 18% to $167.6 million when compared to $203.6 million for the same period last year. On an organic basis, which exclude the impact of acquisitions, revenue declined by 20% in the third quarter when compared to the same period last year or approximately 16% when calculated on a constant currency basis. Our core business revenue which exclude MakerBot and Stratasys Direct Manufacturing, declined by 14% in the third quarter of the last year or approximately 10% on a constant currency basis. MakerBot product and service revenue declined by 55% in the third quarter of the last year driven by the overall market weakness, as well by ongoing challenges associated with the restructuring of that business. Non-GAAP net income for the third quarter was $0.7 million or $0.01 per diluted share, compared to non-GAAP net income of $30.1 million or $0.58 per diluted share reported for the same period last year. The company updated the goodwill impairment analysis of all of its reporting units. On the basis of its preliminary analysis, the company recognized a non-cash goodwill and other intangible asset impairment expense of $910 million in the first quarter primarily as a result of changes in the company's near-term cash flow projection which reflects among other things the increased uncertainty in the 3D printing environment. The impairment expense is subject to further adjustments pursuant to conclusion of the preliminary impairment test which is expected to be completed within the next week and disclosed in the company's third quarter financial statement to be filed in Form 6-K. Finalization of the impairment analysis is expected to occur later in the fourth quarter. Although we remain confident in our long-term growth prospects, our visibility in to our near-term performance remains limited as we begin the fourth quarter. Product revenue in the third quarter decreased by 26% to $118.5 million as compared to the same period last year. Within product revenue, system revenue decreased by 37% over the same period last year with the decline driven primarily by the overall market weakness we discussed previously. Consumables revenue was flat when compared to the same period last year. Excluding MakerBot, core consumables revenue grew 3% over the last year, or 8% on a constant currency basis. We believe the slowdown in consumables is driven primarily by the recent weakness in hardware sales. Services revenue in the third quarter increased by 13% to $49.1 million as compared to the same period last year. Within service revenue, customer support revenue, which includes the revenue generated mainly by maintenance contracts on our system, increased by 16% compared to the same period last year. The company sold 5,467 3D printing and additive manufacturing systems during the third quarter, and has sold a total of 141,395 systems worldwide as of September 30, 2015, on a pro forma combined basis. Unit sales in the third quarter relative to prior periods were impacted by lower MakerBot unit sales, as well as the overall impact of the market factors we outlined previously. Although systems sales were disappointing, we observed a sequential quarterly improvement in ASPs as our product mix favors higher-cost systems. Gross margin declined to 51% for the third quarter, compared to 58% for the same period last year. The decrease in gross margin over last year was driven primarily by product mix, as sales of our higher margin Connex systems were notably weaker during the period. In addition, gross margin was impacted by an increase in reserves related to slower moving inventory. Product gross margin decreased to 59% in the quarter, compared to 63% for the same period last year reflecting the impact of lower demand. Service gross margin decreased to 32% in the quarter, as compared to 40% for the same period last year, driven primarily by the inclusion of the Solid Concepts and Harvest Technology acquisitions, as well as an increase in reserves related to slower moving service inventory. Operating expenses increased by 9% to $95.2 million for the third quarter, as compared to the same period last year. Compared to the second quarter of this year, operating expenses declined by 1%, reflecting the impact of lower reseller commissions and planned cost reductions, which were partially offset by higher investment in certain R&D projects and the ramp up of our company-wide ERP implementation. Net R&D expenses increased by 31% in the quarter to $25.1 million over last year, driven by the inclusion of acquired GrabCAD expenses and an increase in internal funding for certain product development projects. SG&A expenses increased by 3% in the quarter to $70.1 million over last year, but declined by 5% when compared to the second quarter of this year, reflecting the impact of lower reseller commissions and planned cost reductions. Net income included the tax benefit of $11.3 million which resulted mainly from the impact of losses incurred in high tax jurisdictions. The following slide provide you a breakdown of our geographic sales for the quarter, which reflects the broad-based weakness we have outlined previously. For our core products and services which exclude MakerBot and SDM, all regions are underperforming in the third quarter relative to the expectation. Our expectations for the remainder of the year are continuation of this trend as the challenging market conditions we have observed in 2015 persist. Non-GAAP EBITDA for the third quarter amounted to a loss of $1.5 million. The company used $17.9 million in cash from operations during the third quarter and currently holds approximately $262.4 million in cash, cash equivalents, and short-term bank deposits. The decrease in cash, cash equivalent and short-term bank deposits as compared to $502.6 million at the end of the second quarter is driven primarily by our recent repayment of our revolving credit facility and $30.7 million in capital expenditures used for the purchase of fixed assets, which includes payment for our new facility in Israel. Inventory increased to $140.8 million as compared to $137.4 million at the end of the second quarter of 2015, as lower-than-expected hardware sales drove an increase in finished goods inventory. Accounts receivable decreased to $130.7 million compared to $137 million at the end of the second quarter, while DSO on 12-month trailing revenue remained flat at 64. In summary, our third quarter results did not meet our expectations, and we are disappointed with our performance. We believe our performance was impacted by weaker macroeconomic conditions that drove an overall slowdown in capital equipment spending. Our near-term visibility remains low as we begin the fourth quarter. Sales cycles have lengthened and pipeline conversion rates have declined when compared to historical levels. We will make the adjustments to our operating expenses to align with the current market environment and to emphasize operational efficiencies. We believe we maintain a conservative balance sheet and sufficient capital to meet future requirements while weathering the current downturn. And finally, we remain confident in the long-term growth prospects that we have identified in key verticals and applications, and we will remain committed to our growth initiatives and long-term investment plans. I would like now to turn the call to our VP of Investor Relations, Shane Glenn, who will provide you greater details on our updated 2015 financial guidance. Shane?
Shane Glenn - Vice President-Investor Relations: Thank you, Erez. The company has provided financial guidance for the fourth quarter of 2015 as follows. Total revenue in the range of $160 million to $175 million with non-GAAP net loss in the range of $9 million to $3 million or $0.17 to $0.06 per diluted share. GAAP net loss of $35.3 million to $28.3 million or $0.58 to $0.54 per basic share. Non-GAAP earnings guidance excludes $17 million of projected amortization of intangible assets, $7 million to $7.5 million of share-based compensation expense, $2.5 million in non-recurring expenses related to acquisitions, $4 million to $5 million in reorganization and other related costs, and includes $5.2 million to $5.7 million of tax expenses related to non-GAAP adjustments. Finally, at this time, we are reviewing our long-term operating model and we will provide an update when we begin to observe improved market visibility. Appropriate reconciliations between GAAP and non-GAAP financial measures are provided in the table at the end of our press release, providing an itemized detail of these non-GAAP financial measures. Now, I would like to turn the call back over to David Reis. David?
David Reis - Chief Executive Officer & Director: Thank you, Shane. Our recent performance has not met expectations. We are facing a challenging market environment that requires us to adapt and refocus our strategy as our industry transitions and matures. Despite near-term challenges, we continue to observe significant potential within our markets and remain confident in the long-term growth opportunity. I would like to take a moment to highlight some initiatives that we believe will reinforce our leadership position in the 3D printing and additive manufacture industry and ensure that Stratasys is prepared for the future growth opportunities we see ahead. To strengthen our position, we recently launched a new branding initiative that reintroduces Stratasys to the market. The goal of our branding initiative is three-fold. To take ownership of what our customers, partners, and employees already know, that Stratasys is the industry leader by many metrics including installed base, intellectual property, R&D investment, new product development, and innovation. Secondly, to clearly communicate to the market that Stratasys will provide a total ecosystem of solutions including hardware, materials, service and software with the customer in the center. And finally, that Stratasys is a 3D printing solution company and that we will work hard to adapt and evolve our organization to take advantage of future growth opportunities within a market which requires a solution-driven approach. We are very proud of our work and what we do in Stratasys. We truly shape lives by revolutionizing the way things are made and we believe our new branding strategy reflects this position. We've identified several market trends that we believe support our long-term optimism and future growth prospects within the prototyping and advanced manufacturing markets. First, we believe that significant opportunity remains for rapid prototyping applications. Earlier this year, we conducted an extensive market analysis that includes the data from 845 responses to an industry survey that targeted product developers. Based on our research and that survey, we believe prototyping application remains a significant opportunity. We estimate the global prototyping market to be at a $10 billion to $15 billion opportunity with only 23% of this opportunity currently addressed by additive manufacturing. Second, we recently released the result of an in-depth industry survey completed by our Stratasys direct manufacturing organization. The report is based on an independent analysis of 700 designers, engineers and executives, 40% with whom are employed by companies with over $50 million in revenue. The goal was to uncover common themes among companies who are looking to adopt and integrate 3D printing into their manufacturing processes. Some of the survey findings included a belief that end-use parts will be increasingly designed for additive manufacturing over the next three years. Additionally, the response anticipated the application within the highest level of growth for additive manufacturing are tooling and patterns, trial and bridge production parts, and end-use parts. Also encouraging was the belief by a majority of respondents that regardless of their company in-house additive manufacturing resources, they recognize the value in partnering with a service provider to augment internal capabilities. We believe we are well-positioned to capitalize on these emerging trends given our comprehensive portfolio of current and future products. Our product and service offerings are evolving rapidly as we seek to better position the company to provide a complete portfolio of solutions within the design and manufacturing value chain. Building this comprehensive ecosystem takes time, and over the past several quarters, we have completed several transactions that support this effort, including our acquisition of GrabCAD and Econolyst. In addition, we have entered strategic partnerships such as those we recently announced with PTC and Adobe. Our ecosystem combined with our new branding strategy will be on full display in formnext 2015 exhibition later this month. For the first time, we will showcase a combined range of solutions, including industrial PolyJet and FDM 3D printers along with MakerBot desktop 3D printers and Solidscape professional systems. The growing Stratasys ecosystem features design-to-print workflows, 3D printing curriculum and consultancy offerings through Stratasys Professional Services and Strategic Consulting. Over the course of 2015, we have made significant changes to our go-to-market strategy. In April, we welcomed Josh Claman to the newly created role of Chief Business Officer, where he oversees the company's Marketing, Sales, Service and Channel organization. Josh is focused on driving commercial and go-to market synergies across the company's different business units. More recently, we further strengthened our leadership team with the appointment of John Gould, formerly of Dell, as President of North America go-to-market operations. He will play a critical role in defining our North American expansion strategy by improving both the customer and channel partner experience. This includes our more recent initiative to build out a dedicated inside sales team to work with our partners to pursue cross-selling and up-selling opportunities as well as executing specific sales campaigns designed to acquire new accounts. We will continue to collaborate with our current channel partners, with expectations that they will play a valuable role in helping nurture and grow new customers. This will include a more effective structure of covering the market, which involves enhancing our ability to support key channel partners through training, certification, sales enablement and joint sales efforts. Additionally, we continue to pursue our strategic account management and vertical business units initiatives which are developing new growth opportunities across large organizations and our target markets where our disruptive solutions can unlock value within the manufacturing process. Many of these changes to our go-to-market approach are underway and we intend on moving forward with expansion over the next few quarters. Most importantly, we already observed results on some of these initiatives. For example, within the Strategic Accounts Management initiative in North America, sales grew by 137% in the third quarter compared to the same period last year. Although the growth is compared to a small base, we believe that performance is impressive considering the challenging macroeconomic environment we observed during the quarter. We recently initiated additional organization enhancements and operational improvement in MakerBot. This includes the reorganization and reduction of staff to become more operationally efficient, enhancement to our leadership team including the hiring of key executives, consolidation of facilities and reduction in overhead costs including the centralization of staff, and outsourcing of production for legacy 4th generation products to contract manufacturers which we believe will significantly reduce costs and allow for greater focus on the development of the next-generation products. We are confident the structural changes will help improve the performance of MakerBot reporting unit beginning of 2016. In addition to restructuring at MakerBot, we are currently evaluating additional adjustments to our cost and operating structure to better align with our current market environment – with the current market environment. In summary, despite our near-term challenges, we continue to observe significant market potential and remain confident in our long-term growth prospects. We have re-launched our branch to reflect our leadership position as a 3D printing solution company and look forward to presenting our comprehensive ecosystem to the market. We are augmenting our go-to-market infrastructure with key hires and vertical market focused approach to better serve our customers' additive manufacturing needs. In light of the current market environment, we are making adjustment to better align expenses with current market conditions including ongoing restructuring of MakerBot and an overall emphasis on productivity and efficiency across the entire organization. And finally, although, we expect market conditions will remain challenging over the near-term, we remain committed to our long-term investment plan and growth strategy that focuses on vertical market and manufacturing-related applications. Operator, please open the call for questions.
Operator: Thank you. Please stand by for your first question. And your first question comes from the line of Patrick Newton, Stifel. Please proceed.
Patrick Newton - Stifel, Nicolaus & Co., Inc.: Yeah. Thank you. Good morning, David and Erez. I guess just diving in, I really wanted to focus on gross margin, as that metric is bouncing around four year lows, and I guess just digging beyond the mix in lower Connex sale headwinds that you touched on in your prepared remarks, are you seeing any pricing competition creep up forward across the portfolio as the industry is pressured by lower sales or have used any discounting tactics in an attempt to reaccelerate pipeline conversion rates or are you starting to see any pricing pressure at all across the material side of your business?
Erez Simha - Chief Operating & Financial Officer: Hi. Good morning, it's Erez. There is the decline in gross margin is only due to the changing product mix that we observed during the last few quarters, and the decline in Connex mix. We don't see any ASP pressure. I think if the ASP went up, we don't see any change in competitive landscape in the markets in the verticals we operate, not at all.
Patrick Newton - Stifel, Nicolaus & Co., Inc.: All right. That's very helpful. And just focusing on the MakerBot operational improvements, I guess given the demand trends as they stand and the lack of visibility and also the current cost structure of that entity, in what timeframe do you think you can get MakerBot to operational breakeven, and perhaps if you could help us quantify the current loss generated. And then, also, is there any reason given the macro challenges that the organizational enhancements that you're applying to the MakerBot division are only targeting MakerBot and are not more broad and company-wide?
Erez Simha - Chief Operating & Financial Officer: Okay. So – it was a long one. I hope I remember everything, but I'll start with the MakerBot. We didn't provide any numbers regarding the profitability of MakerBot. What I can say is that we expect a significant improvement in profitability in MakerBot result in 2016 compared to 2015 based on the ongoing involving in the plan that we have in place. As of cost measurement in other places, we are dealing now in the entire company with productivity and cost efficiency and adjusting cost structure to what we see today outside in the market. It will have no impact in 2015. Because it is in the make. Some of it is in medium term. Some of them is short term. And I think that once we come out at the beginning of 2016, we will be able to discuss it in detail.
Patrick Newton - Stifel, Nicolaus & Co., Inc.: Great. Thank you for taking my questions. Good luck.
Shane Glenn - Vice President-Investor Relations: Thank you, Patrick.
Operator: And your next question comes from the line of Troy Jensen of Piper Jaffray. Please go ahead.
Troy D. Jensen - Piper Jaffray & Co (Broker): First question here is for David. David, I agree with the thesis regarding excess capacity and industrial CapEx issues. But how do we know this isn't competition? I know specifically there's really no competitor to Fortus. I'm not talking about MakerBot. But just on the industrial side here, just the knowledge of future competition with the other print suppliers. Is that impacting business at all?
David Reis - Chief Executive Officer & Director: To the business model origin and what hear – what we hear from the market, Troy, this is not a factor in the slowdown at this point of time, okay. We don't have such an indication. This is the only thing I can say. We are – we're obviously concerned about the same issue, we've asked it many times. We don't get this indication.
Troy D. Jensen - Piper Jaffray & Co (Broker): All right. That's fair. And then now maybe just my follow-up for Erez, with all kind of the OpEx cuts coming here and the change in the gross margins, what do you think the revenue levels going to be needed to reach a breakeven with the new cost structure? How much OpEx do you plan to take it out?
Erez Simha - Chief Operating & Financial Officer: So, Troy, indirectly, you're asking about 2016 which I cannot comment on just now. But what I can tell is that we are taking very seriously the change in the business volume that we see in front of us and we are dealing with adjusting the cost structure of the company, the entire cost structure of the company not only MakerBot, to fit through what we see today in the market in terms of customer demand. We are dealing with medium to long-term activity such as production efficiency and outsourcing of production and optimization of production. And some of them are short-term activities that we are implementing as we grow. Again, once we come closer to 2016 and the plan is nailed down, we will be able to discuss the details.
Troy D. Jensen - Piper Jaffray & Co (Broker): Okay and...
David Reis - Chief Executive Officer & Director: And the planning, I think – the planning in any case that this activity will lead to and will have an effect in 2016.
Troy D. Jensen - Piper Jaffray & Co (Broker): 2016. Okay. Good luck in Q4, gentlemen.
Shane Glenn - Vice President-Investor Relations: Thanks, Troy.
David Reis - Chief Executive Officer & Director: Thanks.
Operator: Your next question comes from the line of Ken Wong, Citigroup. Please proceed.
Kenneth Wong - Citigroup Global Markets, Inc. (Broker): Hey, guys. So maybe shifting gears a little bit away from the printer business. Do you envision a scenario where the services business could potentially decline year-over-year? And I guess not so much the services, I mean the parts plus the maintenance, kind of stripping out the maintenance, if we were just looking at the parts business. Is that a business that could face similar weakness?
David Reis - Chief Executive Officer & Director: I'll take this one. The service maintenance part of it, its growth is related to the increase in the installed base, one part of it. So obviously, if the slowdown that we see will continue, we will see less growth in the service part of it. On the other hand, we are doing over time a better and better job in signing customers to service contracts, which is mitigating positive potential decrease.
Kenneth Wong - Citigroup Global Markets, Inc. (Broker): And – well, I guess – I mean not so much the maintenance support piece. Yeah. I figured that attaches to hardware, but what about the parts business. Is that a business that you would expect to see similar type of weakness going forward? Is that something that could possibly decline down the line?
David Reis - Chief Executive Officer & Director: Going back to my prepared notes, we indicated in the prepared notes that we did go through I think a quite detailed survey I think it was two quarters ago surveying the customers and their potential to buy parts. And the overall indication that we have is that the requirement of the demand for parts should grow. And so, I don't think we should see a slowdown in this part of our business, okay? We don't have such indications and again if you go back to the prepared notes, you'll see that the indications that people are saying that despite the fact that they have machines, they understand the value and need for parts in specific verticals within the parts market people say specifically that they expect over time to buy more, to adjust their design processes for future additive manufacturing part production. So, we don't have such indications. Nevertheless, Erez, I think said earlier, global visibility is quite low, but I'm reasonably optimistic about this part of our business.
Kenneth Wong - Citigroup Global Markets, Inc. (Broker): Got it. And then one – and then a question for Erez. How should we think about gross margins in Q4? I mean with your guide, it looks like OpEx might be roughly flat but I guess that largely does depend on whether or not gross margins improve in Q4 like they typically do or do you continue to see pressure there?
Erez Simha - Chief Operating & Financial Officer: I think that you should assume same level of gross margin in Q4 as we saw in Q3. No significant change.
Kenneth Wong - Citigroup Global Markets, Inc. (Broker): Okay. Got it. Thanks a lot, guys.
Shane Glenn - Vice President-Investor Relations: Thanks, Ken.
Operator: Your next question comes from the line of Wamsi Mohan, Bank of America.
Wamsi Mohan - BofA Merrill Lynch: Yes. Thank you. You said the near-term is challenging. Is it reasonable to think of any organic growth in 2016 and directionally if you have growth, then will you still adjust the OpEx downward or do you think that you will re-double on investment? And can you talk about the seasonality heading into Q1 as well? And I will follow up.
David Reis - Chief Executive Officer & Director: I think that- maybe I'll take the first part of it. First of all, I will state very clearly, we said it a few times in the last few months. The visibility is low. Okay? I think we'll be able to give indication about 2016 later in the year and after we finish the planning. At this point in time, it's very difficult to predict. Visibility is low, but I think that as we are progressing into Q4 and as we're getting closer to next year, I hope visibility will improve and we'll be able to give a better indication.
Shane Glenn - Vice President-Investor Relations: Erez, do you want to add something here?
Erez Simha - Chief Operating & Financial Officer: I think the part that we control looking forward is the cost structure, or control almost completely the cost structure, and we intend to deal with the cost structure now regardless of the revenue growth or not growth that will happen next year. Again, we do see that it is a challenging market environment, very low visibility and predictability. And we intend to adjust the cost structure.
Wamsi Mohan - BofA Merrill Lynch: Okay. Thanks, Erez. Thanks, David. Also just as my follow-up, can you talk about if your R&D priorities are changing here based on what you found around your survey. Is there going to be a slightly different focus around the different product lines or where your R&D investments are going to go? Thank you.
David Reis - Chief Executive Officer & Director: Again, obviously and unfortunately, I cannot go into detail on our R&D plan. We are using this "opportunity" to reexamine a lot of our activities. In general, I can say that our initial and previous roadmap, I think, is as valid today as it was before. Nevertheless, as part of the planning to 2016 and even farther years we, obviously, we're going to reexamine it. I don't expect to see big changes. I think we're doing the right things. We're spending in new products, exciting new technologies. I don't see a dramatic change. Nevertheless, again, the situation is bringing us to refocus, to look carefully on every expense and every investment, and this is what we're doing.
Wamsi Mohan - BofA Merrill Lynch: Thank you.
Shane Glenn - Vice President-Investor Relations: Thanks, Wamsi.
Operator: And your next question comes from the line of Jason North of Jefferies. Please proceed.
Jason D. North - Jefferies LLC: Hi. Looking at the survey and the interim analysis you did, did the results indicate what prototype in year-over-year growth could return to once the excess capacity has worked there?
David Reis - Chief Executive Officer & Director: Can you repeat the question? Sorry.
Jason D. North - Jefferies LLC: Looking at your survey and the internal analysis, did the results indicate what the prototype in year-over-year growth could return to once you work through the excess inventory that you are currently seeing – the low visibility?
David Reis - Chief Executive Officer & Director: No. We don't have – the survey did not look for this number and I don't have a clear indication today because of the low visibility. What was very clear in the survey and then I want to emphasize it, we found a lot of very interesting data. Obviously, we are just giving one data point. Penetration is low. We also found out that in places that rapid prototyping is used, it's becoming a dominant technology in the rapid prototyping processes of the organizations. We were happy with those results because we see that the potential is still very, very big. And therefore by the way from an internal planning, we – our intention is to continue to beat or to lead this market while extending our penetration into manufacturing. But we were very happy to see the results of this research because of the low visibility and slowdown of the market might make some people worried about issues like saturation or stuff like this. And this survey, although done internally and not a huge scale, give us the reason, the good indications that the market has a very low, relatively low penetration, relatively low penetration. 23%, I think, the number we mentioned and it still means that we have a long way to go.
Jason D. North - Jefferies LLC: Okay. And a follow-up here on the services gross margin, saying that's going to be relatively flat because it was down this quarter despite revenues being up sequentially. And it seems like prior to that, it was due to a higher inventory reserves. But why is that, it still seems like that's lower than it would be and I'm surprised that it's flat sequentially. So, any thoughts there would be helpful.
Erez Simha - Chief Operating & Financial Officer: Jason, it's mainly because the accounting reserves that we took this quarter is a result of really uncertain things in future demand that see in front of us.
Jason D. North - Jefferies LLC: Then why won't that rebound in Q4 then?
Erez Simha - Chief Operating & Financial Officer: It is a onetime. It's a onetime result.
Shane Glenn - Vice President-Investor Relations: Jason.
Jason D. North - Jefferies LLC: Oh. Yes. Thank you very much.
Shane Glenn - Vice President-Investor Relations: Thanks, Jason.
Operator: And your next question comes from the line of Sherri Scribner of Deutsche Bank. Please proceed.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Hi. Thank you. I had sort of a bigger picture question. Considering the weak environment that we're seeing, have you guys, in the past, ever seen an environment that has been this weak considering that you guys have been doing this for a while? I'm just trying to understand if there's a precedent for this and how long it typically takes? And then, as a follow-up to that, thinking about this glut of inventory that we have, or glut of machines that we have that's taken basically two years to build up, does that suggest that it's going take two years for us to work down the amount of machines that the industry has?
David Reis - Chief Executive Officer & Director: Hi, Sherri. It's David. For your first question, I think only time I recall a significant drop in hardware sales was I think in Q1, Q2 2009. I don't recall the exact numbers, but the drop in hardware was very, very significant, but the recovery was relatively fast. I think we recovered within a few quarters. That's the only time I recall something like this probably in the last 10 years, both for Stratasys and Objet. To your question about the recovery time, again, the visibility is very low. I really can't comment on it. Like we said many times, if you look at the fundamental of the markets, the overall interest in 3D printing, the new applications that we are developing, the new products that we are bringing to market, the low penetration in rapid prototyping is indication that it will recover in one point of time, but to ask me to give you dates, it's very difficult in this point of time.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Thank you.
Shane Glenn - Vice President-Investor Relations: Thanks, Sherri.
Unknown Speaker: Thanks, Sherri.
Operator: Your next question comes from the line of Shannon Cross of Cross Research Group. Please proceed.
Shannon S. Cross - Cross Research LLC: Hi. Thank you very much. Can you just talk a bit about on the OpEx side, how you're – where you're finding some of those cost reductions, because you're in expansion period from the standpoint of building your back office and obviously the branding campaign and that? So, I'm just trying to think of where you might be cutting within the core business and how you're sort of finding some of these cost reductions and how you're incenting some of your employees to try to come up with improvements?
David Reis - Chief Executive Officer & Director: So, it's a long process that we are going through, and actually the high-level rationality behind this is we are keeping the long-term strategic investment and compact of the company in place. And as a result of lower revenue than we expected in the 2015 year-to-date to resolve speaking for themselves, we are adjusting first what is related to revenue and generating. And it's around marketing, analytics, and all these kinds of activity that were supposed to generate higher level of revenue. And today, they are not in line with the level of revenue that we see in front of us. We are dealing with, I would say, back office productivity and efficiency and trying to look for synergies in the back office in the different regions and the same regions as we, in the last two to three years, grew dramatically in terms of those infrastructures. We are looking on operations and production and production efficiency on sourcing and outsourcing and purchasing and suppliers. And I would say that the entire process is mainly looking into the company in areas that can be – can be generate significant cost efficiencies in the short and medium term for the company. But again the high level rationale behind it is to adjust the cost structure to a different revenue out of what we see in front of us while keeping the long-term investment in R&D and give you an IT infrastructure in place to allow us to get stronger and more efficient from this period when it happens.
Shannon S. Cross - Cross Research LLC: Thank you. And then I just have a second question on cash flow and capital allocation. Clearly, your cash flow is under pressure. But how should we think about how you're contemplating capital allocation? And then I was just curious, you repaid your revolver during the quarter. Was that just related to timing of cash flow or what sort of led to that? Thank you.
David Reis - Chief Executive Officer & Director: We paid the revolver for two main reasons. A, we don't need the cash, that and we are looking at cost items in the company. This has costs with it which we choose to give up for now. And again, once we have discussed 2016 and 2016 overview, we will be able to discuss also cash flow and free cash flow for 2016. And again, among other things, we have to be very tight on CapEx also in order to improve free cash flow in 2016.
Shannon S. Cross - Cross Research LLC: Thank you.
Shane Glenn - Vice President-Investor Relations: Thanks, Shannon.
Operator: The next question comes from the line of Ben Hearnsberger of Stephens. Please proceed.
Ben Hearnsberger - Stephens, Inc.: Hey. Thanks for taking my question. I wanted to get your comment on a couple of statements in the press release. You mentioned prototyping business is mature, but also under penetrated. I guess can you help us reconcile this statements and then I guess the real question is – do you consider prototyping a growth business going forward.
David Reis - Chief Executive Officer & Director: So, I will start from the – from your last question. Yes. We consider prototype to be a future growth engine to this company. In parallel spending into a manufacturing which is a total different arena with different requirements. So, yes, we believe there is a long way to go in rapid prototyping. The other thing with low penetration that we are indicating 22%, 23% with the word mature has to do with, I think, market, understanding market, a knowledge of the technology and the availability of different technologies, availability of product. So, the mature is relating to this and the low penetration is relating to our survey.
Ben Hearnsberger - Stephens, Inc.: Okay. And then I had a question on GrabCAD, is it generating revenue now? And if not, can you give us a sense for the potential business model for GrabCAD?
David Reis - Chief Executive Officer & Director: Again, GrabCAD again, I don't want to go into GrabCAD financials at this point in time, but GrabCAD was purchased as a very important pillar in our strategy going forward. We believe that GrabCAD has the tools to help us even faster, convert our self into a company which provides solutions to our customers, not just product which I think is going to be fundamental for our future and the future of the industry. And like I think it's if we read the paper, GrabCAD's products under Stratasys will come to market in the, I'd say medium-term and then we'll be able to talk about it more openly. But it's – GrabCAD is a substantial pillar in our future go-to-market and the way we see our position within the market and our effort to convert ourselves, we – from being a product, a great product in hardware consumer provider to total solution provider which I think is required by our customers both by doing rapid prototyping and more importantly in manufacturing.
Ben Hearnsberger - Stephens, Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Ananda Baruah of Brean Capital. Please proceed.
Ananda P. Baruah - Brean Capital LLC: Good morning, guys. Thank you for taking the question. Just one for me and then a quick follow-up. Based on the reported metrics, your organic growth, it seems, at least at a higher level, to suggest that potentially the softness – the soft dynamics could be becoming more pronounced as we move through the year. And I just want to get your thoughts on that. Would you agree with that? And then any context you could put around how you guys view the softness in the dynamics kind of manifesting would be helpful. And then I have a follow-up. Thanks.
Erez Simha - Chief Operating & Financial Officer: Hey, Ananda, it's Erez. It's really, really difficult to discuss a trend looking forward as visibility is extremely low. If you judge upon the performance of the last two quarters, I suggest that what you say makes sense. But again, I think, A, it's too early, B, low visibility, no predictability. I wouldn't hurry and jump into such conclusion now.
Ananda P. Baruah - Brean Capital LLC: Okay.
David Reis - Chief Executive Officer & Director: I just want to add something to what Erez said. We are talking a lot about the market condition and there's no doubt and I think I hope everybody on the line agrees that we do see a serious slowdown and we tried to the best of our knowledge to explain it. I want to emphasize the fact that we at Stratasys, myself and all the management team included, we're not sitting, you know, and laying back on our chairs and waiting until the market has recovered. I mean even with those conditions, I think we can do a lot with the difficulties to improve our situation. And we mentioned a lot of activities that we are doing. Now, not all of them are going to give fruit in two days or one quarter. But if you go and read what we said earlier, we're doing a lot of things that within this tough market condition we believe are going to improve our situation. Now obviously, if market condition will improve we're going to be in even a better position, even in great position. But we are not kind of counting and saying life is tough and we are just waiting. We are doing a lot, and we're going to do even more and very aggressively in the coming months, regardless of the low visibility. Okay? So, if you're asking if it's going to get worse, it's very difficult to say like areas of visibility low. We are trying to do a lot of things internally within this environment, which is tough, to bring us to a better situation both on the revenue side and Erez discussed the OpEx and cost side. Just rest assured that we're not waiting for the market to improve and we are actually extremely active, I think we've become even more active in the coming weeks and months to make sure that we do the best within those conditions.
Ananda P. Baruah - Brean Capital LLC: David, appreciate the incremental context and we look forward to seeing how those things impact the company as we move through 2016. Just a quick follow-up for me. Based on my model, this is really more of a clarification, it would seem to suggest that the implied December Q revenue guidance-wise kind of flattish organic growth. I just wanted to check that with you guys. Is that accurate? And that's it. Thanks.
Erez Simha - Chief Operating & Financial Officer: Ananda, I can come back to you offline. I don't have the number on hand here.
Ananda P. Baruah - Brean Capital LLC: Okay. Great. I'll follow up with you guys. Thanks a lot.
Operator: And your next question comes from the line of Rob Stone of Cowen and Company. Please proceed.
Rob W. Stone - Cowen & Co. LLC: Good morning, gentlemen. I wanted to ask about facilities. You mentioned consolidating some space for MakerBot. I wonder if you could comment on where you see your facilities and fixed asset utilization for the rest of the company, in terms of where you have space, where you might need space, things like that?
Erez Simha - Chief Operating & Financial Officer: For our facility, for the entire company without MakerBot settles in two places. The first one is an ongoing business serving the corporate unit and go-to-market units. And in those places, I don't think that we have an excess of capacity or excess of space that we have to deal with; might be excess but not a significant one. The second part of facilities for production purposes and also there is no significant excess of capacity. And actually we are dealing with optimizing manufacturing based on geographical location and some tax leverage that we can do moving production around the world. And moving more and more to outsourcing some of the key components of the company in order to allow us to deal better with the fluctuation of the business and to move faster to a variable or a better variable versus fixed cost in manufacturing.
Rob W. Stone - Cowen & Co. LLC: Great. And my follow-up question is on capital expenditures. I know you are still working on the plan for next year. Could you say what you expect for CapEx in Q4? And is there some minimum amount in 2016, for instance things to which you are already committed, that might represent, say, a floor for CapEx next year? Thanks.
David Reis - Chief Executive Officer & Director: So, I think that the CapEx in Q4 will be $20 million to $30 million. And we have some obligations in 2016 which is around the building in Israel. And again this depends on the time we move forward, I'm not sure which would take place everything in 2016. It might be just partially will be 2017 or we do it in a lower scale. And we will refer to the numbers once we discuss 2016.
Rob W. Stone - Cowen & Co. LLC: All right. Thanks for taking my questions.
Operator: And your next question comes from the line of Brian Drab of William Blair. Please proceed.
Brian P. Drab - William Blair & Co. LLC: Hi. Just still sorting through the model here and I want to see if you can help me with this. So, with the 4Q guide, midpoint of the revenue guide is around $170 million and the midpoint of the EPS guide around negative $0.10. Is that the sort of run rate in EPS that we would expect going forward on that level of revenue given it sounds like there's a one-time item in the third quarter and there is not a one-time item in the fourth quarter?
David Reis - Chief Executive Officer & Director: Again, I'll go back to what we discussed previously in the call. We are now dealing with adjusting the cost structure. I don't think that the EPS in Q4 represents any run rate if you can assume looking forward. There will be actually very low impact on 2016 from all the activity we are taking now. But those will impact 2016. And again, once we discuss 2016, we finalize the plan and discuss 2016, we discuss in detail what did we do and what will be the EPS run rate for 2016.
Brian P. Drab - William Blair & Co. LLC: Yeah. I didn't ask the question exactly how I wanted to. But what I'm trying to get at is in the fourth quarter were there are any unusual items that would cause some disconnect between that level of revenue and that level of EPS today, and would you need to cut cost to get the negative $0.10 or so up, and what I'm getting at because in 2016 it kind of implies that we would need to cut, it looks like something in the $15 million to $20 million range or maybe a little more than $20 million range, just to get to breakeven in terms of EPS if the revenue run rate doesn't move up from there. So, were there onetime items in the fourth quarter or without cost cutting, is $170 million in revenue kind of tied pretty closely to negative $0.10 in EPS?
David Reis - Chief Executive Officer & Director: So, the $170 million represents also specific product mix that generate specific gross margin which is I think can be different looking forward, but there is no any specific onetime element in the guidance that we provided for Q4, and again the cost structure, also the cost alignment results are not visible.
Brian P. Drab - William Blair & Co. LLC: Okay. And then, are there new products being introduced at formnext or is it more of the ecosystem that you're showcasing?
David Reis - Chief Executive Officer & Director: It's ecosystem. So, all around ecosystem.
Brian P. Drab - William Blair & Co. LLC: Okay. Thanks very much.
David Reis - Chief Executive Officer & Director: Yes.
Operator: Thank you. I would now like to turn the call over to David Reis for closing remarks.
David Reis - Chief Executive Officer & Director: Thank you for joining today's call. We look forward to speaking with you again next quarter. Good-bye and thank you.